Julia Bock : Ladies and gentlemen, welcome to the K+S Full Year 2024 Earnings Call. We hope you had a chance to review our posted slides as well as our documents available on our website. After some opening remarks by Dr. Lohr, we will directly jump into Q&A. Some technical notes. Please refer to our disclaimer on Page 2 of the presentation. Then a note on data privacy. Please note that the team session will be recorded, webcasted and be available as a replay on our homepage afterwards. People asking a question in the Team session have to be aware that by turning on the camera and microphone, they give consent to saving and replaying video and audio sequences. Now I would like to turn over to Dr. Lohr for the opening remarks.
Burkhard Lohr: Thank you, Julia. Ladies and gentlemen, a warm welcome from the 3 of us as well. Despite the challenging environment of low potash prices, we have successfully demonstrated that we are on track. At €62 million, free cash flow was better than expected. EBITDA reached €558 million. Again, we benefited from our global positioning and our strong specialties business. For the full year 2025, we expect EBITDA to range between €500 million and €620 million. This translates into a midpoint at about the level of 2024. For the upper end of the range, we would need a tangible price recovery for MOP in Brazil during the spring season, and this has to spill over into other regions and product groups and hold up during the second half of 2025. The lower end would work with prices at the level of the end of 2024. We expect free cash flow to at least break even also for 2025 despite the planned elevated CapEx. We are very happy with the current spring season with strong potash demand worldwide. So we are in a very promising environment right now as we speak. Before we take your questions, I would like to ask my colleague, Jens Keuthen, to introduce himself briefly.
Jens Keuthen: Yes. Thank you very much, Burkhard, and a warm welcome from my side as well. My name is Jens Christian Keuthen, newly appointed a member of the Board of Executive Directors in February, currently responsible for legal, tax, regulatory affairs, new business areas and procurement. And I will take over from Christian in June as CFO, accompanied with the responsibility for finance and controlling. Yes, some personal background. I joined K+S in 2014. My education is I'm a lawyer, became General Counsel, member of the management team. And yes, my responsibilities were complemented in different ways. And yes, now I'm happy to be in the Board, and I'm happy to ask -- or answer your questions afterwards. Thanks.
A -: [Operator Instructions] This brings us to the first question of Aron Ceccarelli from Berenberg.
Julia Bock : [Operator Instructions] This brings us to the first question of Aron Ceccarelli from Berenberg.
Aron Ceccarelli : Congratulations on your new role, Christian and yes. My first question is on your EBITDA guidance for 2025. So you generated €560 million in 2024 with an average MOP price of €290 per tonne. Maybe can you help me understand why the mid-point is flat where SOP prices today remain flattish, but MOP Brazil is at €335 million. So maybe the moving parts of cost would be also useful to understand.
Burkhard Lohr: Yes. First of all, you need to remember that we started in 2024 with higher prices. So in the course of 2024, the prices were falling, unfortunate. I think we will later on discuss why this was and why the prices are now increasing. Now we are in environment since December to have increasing prices. And we will have higher costs from energy. And we had a very positive bargain agreement, but it means a higher HR cost as well. And if you put all these bits and pieces together, you end up with an EBITDA in the midpoint. Again, there's a good possibility that we end up somewhere above the midpoint, but let's talk about the midpoint. The midpoint is the result of all these bits and pieces.
Aron Ceccarelli : My second question is on your volume guidance. You mentioned at the beginning of the conversation that you are very happy about the spring season. So what is the main driver behind the flattish volume guidance at the midpoint for this year?
Burkhard Lohr: Yes. Thank you for that question. First of all, what is not the driver. The demand is not the driver. The demand is strong. If we had more volume, we could sell more volume. But our capacity is limited as it is for all our competitors. And if we talk about a range of 7.7 million tonnes and 7.5 million tonnes, it is -- can we move all products, so logistics. From time to time, we have issues with the weather, with the performance of Deutsche Bahn and others. And do we have a hiccup with our production? It doesn't look like that. But as the year is still young, we need to open a range, but it's not the demand.
Aron Ceccarelli : And maybe a final one on the supply side. What are the latest news on the potential export quota from Russia?
Burkhard Lohr: For Europe?
Aron Ceccarelli : Yes.
Burkhard Lohr: As far as I know, there is no change in the export quota for Russian product, which is close to 800,000 tonnes. In '23, they have almost not used it at all. Last year, they have used big parts of that. But the good news of talking about Russia, and I would open the discussion for Belarus as well. They are back in the market -- they have been back in the market in 2024 already with almost the entire available capacity. And that means the additional demand that we are expecting runs into limited supply. That's the reason for the increasing prices. And I would be surprised if this would find a short -- stop in the near future.
Julia Bock : Now we have one question from the room here. It's Christian Faitz from Kepler Cheuvreux.
Christian Faitz : Yes. First question maybe, where do you see the Latin America/Brazilan market going structurally? I noticed that Q4, at least in terms of sales, I guess, the same was true in terms of volumes was up, but overall '24 was heavily down. Do you see a normalization of that market in terms of demand? And put also in context with Eastern European volumes, would you still see that market hampered by European -- Eastern European imports?
Burkhard Lohr: Yes. Thank you for the question, Mr. Faitz. Brazil, of course, is currently the powerhouse of our industry, and it runs demand-wise from one record to the other. But it's also the place where we meet all our competitors. And last year, we have seen an environment where Uralkali and Belaruskali was still fighting for a new market position, which had an untypical outcome, high demand but pressure on prices. That's why we have looked for other areas with higher netbacks. And the good thing is that we have the flexibility to move products, to leave more in Europe, which has still a very good price environment, to avoid India, for example, with a very low price. And we did the same in Brazil. But currently, prices are increasing, and that means we most probably will increase our stake in Brazil.
Christian Faitz : Okay. A question around hedging/hedging losses. I noticed, if my numbers are correct, that you had a hedging loss in Q4 of something like €80 million, €82 million. Can you elucidate that a little bit? And then also, can you talk about gas hedging for '25 '26?
Christian Meyer : Yes. Our hedging strategy is -- the one is for the U.S. dollar, where we have the FX hedges. And there, we saw, based on the volatility of the U.S. dollar, and there we had some effects at the end of the year, but that's only a calculation effect that you see finally in the P&L. With regard to the gas hedges, we are -- for the current year, we have hedged around about 50% at a good roundabout €40, €40 a megawatt hour. And we already hedged 40% for 2026. If you compare the hedge in 2024, we had that was below €40. So there we see some increases in energy costs, but we want to avoid that we have the peaks over the year because the spot price were pretty high. And that's the current situation with the hedging strategy. And what's important to compare, if you see the European market and the Canadian where we have our other side, there we are talking about €6 a megawatt hour. And that's why we are very happy to finally have made this investment with them.
Julia Bock : And Christian, with regards to the hedging effect, it is only the one in the EBIT 2. You know that these are kind of the open position, so just the valuation effect. If you want to know the effect on EBITDA in Q4 isolated in EBITDA or EBIT 1, if you want so, it was plus 4. So not meaningful.
Christian Faitz : Very helpful. On Bethune, one final question for me. I mean we're already pretty much done with Q1. You have a good visibility into the year, I would believe. Can you share with us your ramp-up plan for Bethune in terms of secondary mining, the delta?
Burkhard Lohr: Yes. We -- so we ended 2024 with 2.2 million tonnes, and we indicated that we would see 100,000 tonnes to 150,000 tonnes in addition in average. It will not be every single exactly that amount, but we expect another 100,000 tonnes more in Bethune than 2024.
Christian Faitz : So closer to the 100,000 tonnes than the 150,000 tonnes, which is a range you have provided since quite a few years.
Burkhard Lohr: Yes.
Julia Bock : The next question comes from Konstantin Wiechert from Baader Bank. And he just informed me that his camera doesn't work, unfortunately, but we hopefully can hear you, Konstantin.
Konstantin Wiechert : Yes. Can you hear me?
Burkhard Lohr: Yes.
Konstantin Wiechert : Perfect. It's a shame that it doesn't work this time because it didn't work last time. I'm sorry for that.
Burkhard Lohr: Let's see what it does next time.
Konstantin Wiechert : Maybe just -- first of all, with the first question, coming back to the cost items. You talked a bit about personnel and energy, but you expect some relief on the material cost side. Could you give some quantification on that?
Christian Meyer : Yes. For 2025, we expect some headwinds from the energy side. As I just mentioned that our hedging strategy is currently that we are around €40 compared to below €40 in last year. Then we had, with the personnel cost, just signed a bargaining agreement, a collective bargaining agreement. And on the other side, we have some -- we expect some lower costs, especially with materials, technical equipment. And these are from our procurement department information we included in our guidance.
Konstantin Wiechert : Yes, I see. But okay, so no quantification of material cost relief because I think last year, we got a pretty clear €100 million cost relief from energy and logistics, which was a clear number. So just asking on a clear number.
Julia Bock : We said for all of it together, mid- to high double-digit headwind.
Konstantin Wiechert : Okay. Then also coming back to the hedging strategy, given that we now have these higher energy or gas prices in Europe, but I think the expectation was still that over the midterm in a normal economic environment, the expectation was more that gas prices could be around €60 per megawatt hour, which would still higher in Europe. So I'm just curious if that's also your assumption still or what do you think is the midterm price for gas in Europe? And how is that affecting your hedging strategy? Should we come back at some point to the levels of like 80% to 90% of gas hedged? Or will that always be a more open exposure from now on?
Christian Meyer: Yes. With regard to the gas price and the €60 you just mentioned, it was a peak that you saw for the spot market. And for the spot market, that is pretty volatile currently. There, you see the one afternoon, €60, the next afternoon, €45. So that's why it's so important that we have a hedging strategy that we already locked in 50% for 2025. And what we can see is what we expect and what's also the energy company expect that, especially in the second and third quarter that we will see the normal dip in the summertime because fulfillments of the current are pretty good, and the weather is currently also warm. So we are very happy or expect that we will be around €40 in total.
Konstantin Wiechert : Yes. I mean more midterm, how should we think about that? Are you planning at some point to go back to hedging 80% to 90% 1 year ahead? Or were you always have more open exposure?
Christian Meyer: Yes, yes. Yes. No, that depends finally on the current situation at what level you can finally lock in the price levels, and we want to optimize this. And normally, we optimize our hedging levels in Q2 and Q3, so mainly during the summertime, the spring and summer times where the prices are lower compared to the wintertimes. So that's no surprise currently.
Konstantin Wiechert : Okay. I keep it like that. One question remaining for now maybe. If I remember correctly, last year, a couple of competing Manheim SOP producers always had some operational difficulties, which also helped you on the specialty side. How is this market evolving currently? And what do you expect for '25?
Burkhard Lohr: There's not much change. It's still difficult and expensive to produce SOP following the Manheim process. And that's why this market is still tight, and that's why the prices are still high. Of course, now with a high -- with a very quickly increasing MOP prices, the premium is decreasing a little bit, but we are sure that we will defend a very attractive premium on this market because, again, it's tight.
Julia Bock : The next question comes from the room here. It's Michael Schaefer from ODDO.
Michael Schaefer : 2 questions. The first one is, and maybe related to the last one, on your production outlook. Last year, I think your Specialty Materials volumes gained something like 32% year-over-year, so there was a strong mix effect towards more specialties at the expense of MOP, which I think the volume declined minus 6%. So now what you've just described, how should we think about the product mix going into '25 on the back of that? That would be my first question.
Burkhard Lohr: Yes. Thank you, Mr. Schaefer, for your question. I mentioned earlier that we are very flexible in terms of going into the markets with the highest netbacks. We also have a little flexibility in our product portfolio. So currently, we are running -- we call it internally SOP MAX. That means more SOP and slightly less MOP and Korn-Kali because due to the pricing. We -- for the time being, we plan to do that until the mid of this year. And then we have to see what the market conditions are to either continue or lower the SOP volumes. So this flexibility is perfect. And last year, we have not met our production targets volume-wise, but we have met our earnings targets that -- due to that flexibility.
Michael Schaefer : Second question is coming back to Russia. We briefly touched the import quota. So however, taking a bit step back, basically, thankfully, now we are getting peace talks and things are moving in the right direction. From your point of view, how do you see basically the European potash market evolving out? How -- which role do the Russians and Belarusians play from this perspective if we are getting a piece between Russia and the Ukraine and the market sort of stabilizing? How should we think about this moment?
Burkhard Lohr: First of all, all of us would be more than happy to see a peace and not people dying, totally independently of our business. But the second thought is what would a peace mean for our business. And here we are more than relaxed because, as I said earlier, they are back in the markets and they cannot do more than they are doing currently. The opposite is true. They are obviously struggling. They have a stronger domestic market. They have maintenance issues, et cetera. So they're rather less to expect than more to expect. And if they should come back into Europe with higher volumes, then they leave room in other markets. So that is a totally relaxed situation, and we would be more than happy to see peace.
Julia Bock : And you would always have to still ask yourself does peace mean that the sanctions against Belarus are lifted because they were not connected with the war originally. The next Question comes from Axel Herlinghaus from DZ Bank.
Axel Herlinghaus : Can you please outline the impact of the planned U.S. tariffs of 25% on Canadian products or if they would come, how you expect the probabilities? What does it mean for K+S? And what does it mean for regional price developments, especially in the coming months? And what mid- to long-term scenario do we expect?
Burkhard Lohr: Thank you. Difficult question because that situation is changing daily. But I try to give you an overview where we are standing. First of all, yes, 25% is mentioned for products going from Canada into the U.S. and some products from Europe into the U.S. But potash is a critical mineral, and for potash, it's only 10%. So usually, you raise tariffs to protect your local industry, but there is almost no local U.S. potash industry. So what would be the outcome? Farmers have to pay the bill, 100%. The Canadian have already announced that they would put it on the existing per market prices, and we would do the same. And if there would be a long-lasting situation with high tariffs from Canada into the U.S. and no tariffs on potash, which I believe will be the outcome, from Europe into the U.S., we would have the opportunity to leave the U.S. behind from Canada, no deliveries from Bethune, but to ship product into the U.S. from Germany. What we are already doing with specialties. SOP goes into the element industry into California. So in total, no risk, rather opportunity for K+S.
Julia Bock : Next question comes from Teams again. It's Joel Jackson from BMO. Joe, please turn on your camera.
Joel Jackson : Can you talk about trade goods? Can you talk about what was the impact on earnings in 2024 for trade goods. It's increasing a lot the last few quarters? And what's the outlook in '25 for the trade goods part of the agricultural segment?
Burkhard Lohr: That's a very good question. It goes close to 0. That's why we want to ramp it down, the trade good business. Only our African activities make sense. We are in Uganda and Kenya. And here, it makes sense, but all the other trade good activities we want will drive down.
Joel Jackson : But we should expect it to be near 0 in '25?
Burkhard Lohr: Not that quickly, but from -- as I said, we still continue to have trade good business in Africa, but it will reduce significantly over the time.
Joel Jackson : Okay. One thing is SOP prices, I think there's been some shortage of sulfur and it looks like SOP has been under a very strong demand. I saw SQM results last week, too, potash prices are rising. The NOP over potash premium is shrinking a bit. You mentioned something similar going on with SOP. So I'm trying to reconcile, should not you be making more money than SOP this year than last year with the demand for SOP being stronger, but some weird things going on with the premiums?
Burkhard Lohr: We have hedged a very high pricing in SOP. We were, frankly, as we put together our plan in autumn last year, we were expecting some price pressure on SOP and which is not the case anymore. There's even potential for higher prices. So exactly what you say, we are optimizing our netbacks in all products and there is a good chance for SOP. And that's why we are running SOP MAX in our production.
Joel Jackson : And Burkhard, maybe a bit of a different question. As you think about ramping down here in your last few months in this role, what is the one thing you're most proud of, the one accomplishment you're most proud of? And what is the one thing that you think is the challenge that you're going to leave but is the one that the company has to really think about.
Burkhard Lohr: Wow, difficult, the one thing I'm the most proud of -- so when I start -- maybe when I started we were every single month at risk to lose production or even lose a total site due to our environmental issues. And now nobody is talking about that anymore because we have achieved the environment -- I call it environmental peace due to a lot of talking to authorities, NGO, politicians, et cetera. And that is maybe the biggest -- one single biggest event. And you've asked about the opposite side. It's -- I would have been happy to announce we have the approval to discharge our borders in Springen. Unfortunately, that was not achieved and that most probably will not be achieved. We have found other opportunities to deal with our remaining much lower production waters after Werra 2060 is finished, but that I would have loved to achieve before I leave.
Julia Bock : The next question comes from Tristan Lamotte from Deutsche Bank.
Tristan Lamotte : 2 questions. First on the kind of general type to the market. I was wondering what you kind of think of as a maximum effective potash capacity at the moment. And maybe you could talk about the general trend on capacity additions and how much the recent outages have impacted sentiment recently?
Burkhard Lohr: Market?
Julia Bock : Yes.
Burkhard Lohr: Can you take the first, I will take...
Julia Bock : So the capacity outtakes that we saw in the different region, how they impacted the market dynamic.
Burkhard Lohr: Okay. Yes. Having a market condition where everybody is producing with full capacity, so not like the years before where for political or geopolitical reasons, some producers were low in volumes. Now they are producing full steam. Having a market where we expect 2 million to 3 million tonnes more demand than in 2024. So every information like that, even if it's only 300,000 tonnes, 400,000 tonnes has an impact on the behavior of our customers, of our farmers, and we see that. And that will lead in a long-lasting price increase. And if we add all up, so 1 million due to maintenance from Belarus, 300,000 due to maintenance from Russia, 400,000 due to higher demand in Russia, SQM shorter in SOP that are meaningful volumes. That's why there is a huge potential. And I rather like to see prices like we've seen over the last few weeks, $5 more, $10 more a week or the second week than the price rocketing that we've seen in 2024 because that has a counter effect that we don't like. So that is a very position we are -- a good position we are in. And again, every 100,000 or 200,000 or 300,000 tonnes have a significant effect in this environment.
Tristan Lamotte : And maybe second question. If I think about the cost headwinds that you mentioned year-on-year, it seems to leave quite a bit of additional headwind -- tailwind we needed from price at the midpoint. I just wanted to understand what your assumptions there are to price at the midpoint? And is there a benefit from Industry+ as well?
Burkhard Lohr: The line -- I think I have understood a fair amount but line is difficult and we have an echo here. Yes, of course, the price development has to more than compensate the cost headwind. That is our expectation. And the second part was...
Julia Bock : If Industry is also...
Burkhard Lohr: Yes. Industry+, thank you for that question because we talk not enough about Industry+. That business is developing very good in both parts, the salt part. We have taken some price initiatives. We have tested the markets. We have expected to lose volumes. The volume that we lost was by far lower than expected. So the return from the salt business is on a level that we have never seen before for Europe, isolated. And of course, the potash products that run into the Industry+ business also have a very good price take. So in all, it's really an additional business, which stabilizes the group.
Julia Bock : The next question comes from Angelina Glazova from JPMorgan.
Angelina Glazova : I have 2 questions. And the first one is on the market environment. Could you please talk about your understanding of current inventory levels at key consumers? And I'm especially interested in China, Brazil and also the U.S. There has been quite a lot of uncertainty around the tariffs recently and also the expectations of fires have likely gone up in terms of their potash price expectations through the year. So do you think it could have affected the demand strength that you're seeing currently? Or is it all underlying? Or could there be some inventory build happening right now?
Burkhard Lohr: Thank you for the question. We have -- I have explained the market environment, and that leads to the following. We are seeing the inventory levels on a very low level. We have seen, over the last years, the farmers going more to just-in-time buying due to the high volatility of potash prices. They don't want to have a lot of inventories in their warehouses. But now with the high demand, in addition, we see low inventories. If you take China, you ask exactly about China, Brazil and U.S., China has released volumes out of their strategic reserve meaningful. So they are significant below the 300 million tonnes that they want to have in hand for the strategic reserve. Brazil is again showing higher demand than in the year before, and there's not much room with this demand. It all goes on the field into application. U.S. maybe is the only exemption because of the tariff discussion. We see the farmers buying maybe a little bit quicker than before, but not to build high inventories, to be -- to have a safe price take on what they put on the field in the next season. So in total, in the system, there is not much available volume.
Angelina Glazova : Understood. And my second question, it's about free cash flow guidance. So we know that the EBITDA guidance for next year is a range. And then CapEx, you're guiding to close to €550 million. But then free cash flow guidance is sort of open-ended or at least break even. And I'm just looking to understand as to why it is not a range. Do you see the flexibility on the CapEx side? Or is it to accommodate any potential working capital movement? So how should we think about free cash flow, say, for example, at the top end of your EBITDA guidance?
Burkhard Lohr: Yes. First of all, I think it's -- I hope it was not a surprise that we are guiding at least break even because we announced already on our Capital Markets Day in November 2021, during Werra 2060, we have elevated CapEx, and that means there is not much room for free cash flow. But still, we achieved €62 million last year on an EBITDA level, which is very close to the midpoint of the guidance of this year. And when we say at least break even, that does not mean 0. But we are in March. It's still very early, and it would not make sense to give more bullish or a more precise number. What we can assure is if we should see the lower end of this range, which from today's perspective is not very probable, but it's not totally off the table, then we are able to manage via CapEx at least break even. In all other EBITDA points in that range, we should expect a positive and more than -- significantly more than only 0 free cash flow.
Julia Bock : The next question comes from Lisa De Neve from Morgan Stanley.
Lisa De Neve : I just have one. Could you just remind us about how we should think about price lags for K+S in the first half and maybe even the entire year and when you expect some of these higher prices we see in the market, particularly in the U.S., which I know is a small market for you and Brazil, to be seen in your P&L?
Julia Bock : So you mean the time lag, Lisa?
Lisa De Neve : Yes, the time lag. Yes, the difference between the market price and your realized pricing that comes into your P&L.
Burkhard Lohr: Right. Okay. So in general, you can -- you should expect a time lag between 3 and 4 months. So what we are booking now in our P&L and what we will report soon with the first quarter was a deal from autumn 2024.
Julia Bock : The next question comes from Konstantin Wiechert from Baader again.
Konstantin Wiechert : If I may, a couple of follow-up. Just coming back on the CapEx. I think if I remember correctly from the time we presented the Werra 2060 project, you were expecting about €150 million additional CapEx in '25 from that side. And I think, if I remember correctly, €50 million for each 100,000 tonnes you want to add in Bethune. So could you remind us again of the maintenance CapEx and whether you are shifting certain CapEx for Werra 2060 or how do we drive this lower CapEx?
Burkhard Lohr: Yes. That is totally correct, what you have remembered. €400 million is the CapEx that we need for our network of assets to keep them in the proper shape. And after Werra 2060, we will go into that direction again. But for the years '25, '26, we will see additional €150 million, close to €250 million. '27 is the first year where the CapEx number should come down a bit. And the biggest portion of the additional CapEx requirement comes from Werra 2060. And that gives me the opportunity to tell you we are very good on track. We will deliver on budget and on time. So that means we will have to see all the positive effects, including 20% less cost of production by the end of 2027.
Konstantin Wiechert : Okay. So just that I get it clearly, where are you currently having the savings if you guide for €550 million CapEx, €400 million base, €150 million for Werra 2060 and then no CapEx for the expansion in Bethune? Or where are the cost savings?
Burkhard Lohr: I said the €150 million is for Werra 2060 and for Bethune. And by far biggest portion out of the €150 million is Werra 2060.
Konstantin Wiechert : Okay. So it's a bit lower than your initial CapEx expectations that you shared with us in 2022...
Burkhard Lohr: I think that's what we say. But don't forget about what we said and you understood that what I just said is -- are the correct numbers.
Konstantin Wiechert : Okay. We keep it like that. And just a clarification on your positive cash flow from inventory. Is that just due to prices? Or was there also some effect from reducing volumes?
Julia Bock : You mean the effect that we were calling in the presentation for the EBITDA bridge for Q4?
Konstantin Wiechert : I think you had a positive cash inflow from inventories. Was that solely due to lower prices? Or was that also a reduction in inventory levels, volume-wise?
Julia Bock : It was a reduction in inventory levels, and that was, by the way, also an effect which on the full year basis was negatively affecting our EBITDA because we were drawing down inventories during 2024. And that was more volume than price actually. We have a question from the room, Christian Faitz from Kepler.
Christian Faitz : Can I ask on your environmental projects? Dr. Lohr, you mentioned spring will most likely not be achieved. What are the key reasons for that? Is the change in government in Thuringia? Or what's behind that? And how is the tail pile covering whatever the term is going in Neuhof and other locations?
Burkhard Lohr: Yes. First of all, we have roughly 300 environmental applications and approvals a year. So that's ongoing business, and that runs very smoothly. But this single one was a very tricky one. And here, we had 2 states to agree. So Thuringia is fine. They would be willing and able and ready to approve but Hesse also has to approve because of the underground deposit, which is close to that area, which we wanted to flood. And they had an adviser who were not 100% sure that there is no risk in, really, the number is correct that, I'm saying, in 10,000 years from now. And that was the reason for them not to approve and after Hesse did not approve, Thuringia were able to approve because they both would have to approve. But that is really a very big, yes, special situation. As I said, we have a lot of approvals to go for, and they are all in time and make sure that we can continue with our business. But Springen was a special animal. And it's unfortunate. It's -- we were prepared meanwhile for that. We can have alternatives to deal with our processed waters, which again are much reduced after Werra 2060. But Thuringia still has a problem with a sinkhole -- not a sinkhole, with the water inflow they have in this single area.
Christian Faitz : So just to clarify, are you still maintaining the security of that mine and as such, gets money from Thuringia for the time being or was it €20 million per year or something?
Burkhard Lohr: Yes. And that is -- roughly, yes. And that's for [indiscernible]. So that's a big issue for Thuringia. And we wanted to help them to mitigate it, so it's unfortunate.
Julia Bock : We have a follow-up from Aron Ceccarelli from Berenberg.
Aron Ceccarelli : I have a couple of follow-ups, please. First one is on the FX. Can you disclose what's the sensitivity to changes in the Canadian dollar to Euro, please?
Burkhard Lohr: Sensitivity of FX.
Christian Meyer: Sensitivity? Yes, we say if you have a decrease of around about 5% of the U.S. dollar.
Julia Bock : $0.05.
Jens Keuthen: $0.05 sorry, from $1.10 to $1.05, for example, then we have an EBITDA effect of plus around about €16 million because a stronger U.S. dollar is positive for us. In the other direction, if it -- you see a $1.15 for example, for the U.S. dollar, then we have an EBITDA effect of around about minus €7 million.
Aron Ceccarelli : Do you have exposure to Canadian dollar?
Christian Meyer: No, we are not selling in the Canadian market, so our products, we are selling to the international markets to the U.S. markets and the rest of the world is mainly contracted in U.S. dollar, in Europe in euro. We only have our costs -- personnel costs, equipment cost, what is local. But that's not the big effect for our EBITDA. And that's close to the U.S. dollar.
Aron Ceccarelli : When you mentioned before that 50% of your gas consumption is hedged at the €40 per megawatt hour, is this total gas consumption? Or is it just European and for Germany?
Christian Meyer: That's the European. That's why I mentioned that we are totally hedged for the Canadian gas, but that's not as volatile as in Europe. That's pretty flat around €6, €6 a megawatt hour if you compare the Canadian gas level with the European is a big difference. And that's why we are so happy that we finally meet with our solution mine. We are able to produce more than 2 million tonnes with around about 500 people. And we have some more gas consumption, but gas is pretty cheap in Canada. And that's why we are pretty happy to have this mine.
Aron Ceccarelli : So the €6 per megawatt hour in Canada compares to what level in 2024?
Christian Meyer: That's pretty flat. You don't see this volatility in the Canadian market.
Julia Bock : Yes, we have another question from the room, Axel Herlinghaus from the DZ Bank.
Axel Herlinghaus : How do you assess the stability of production in Russia, if you take into account the politically desired prioritization of the arms industry? In this context, how do you assess the Uralkali's latest maintenance announcement from mid-February? Is this business as usual? Or is this a first sign of neglecting infrastructure perhaps?
Burkhard Lohr: Another good question. We had some insight into Russia and Belarus before the war because we always had some technicians over there. They were in our minds, and we shared some technical knowledge, but that ended all with the war. So I can only guess on that. But one thing is for sure, they were planning significant brownfield extensions, and they are not working on that. I think money and technology and people are the issues. And even if the war should end, I think that will take long before they even think about these brownfield extensions again. That's another reason why the market is in such good condition currently. That's true for both, for Belarus and for Uralkali.
Julia Bock : So last chance to raise your hand in Teams. But I don't see any question in Teams anymore. Are there any questions from the room? No.
Burkhard Lohr: So as there are no more questions, I have some final remarks. That was my last dialogue with you all. I know there is still a Q1 disclosure before I leave, but that will be made by my colleagues. I will supervise, but without joking, I always enjoyed the dialogue with the capital markets with you, especially. You were always fair to us. Thank you very much for that. And please be as fair as you were to me, to Jens and Christian. Thank you very much, and good luck.